Operator: Good afternoon and welcome to Identiv's Presentation of its First quarter 2020 Earnings Call. My name is Jim and I will be the operator this afternoon. Joining us for today's presentation are the company's CEO, Steve Humphreys; and CFO, Sandra Wallach. Following management's remarks, we will open the call for questions. Before we begin, please note that during today's call, management may be making references to non-GAAP measures or projections, including adjusted EBITDA and free cash flow. In addition, during the call, management will be making forward-looking statements. Any statement that refers to expectations, projections or other characteristics of future events, including financial projections and future market conditions, is a forward-looking statement. Actual results may differ materially from those expressed in the forward-looking statements. And for more information, please refer to the risk factors discussed in documents filed from time to time with the SEC, including the company's latest annual report on Form 10-K. Identiv assumes no obligation to update these forward-looking statements, which we speak of today. And now I'm pleased to turn the conference over to our host, CEO, Steve Humphreys, for his comments. Please go ahead, sir.
Steve Humphreys: Thanks, operator, and thank you all for joining us. I'm sure on various earnings announcements, you've heard plenty about COVID-19, but we discussed that for most companies back on our call in late January. So we're not going to focus on that, except where it very specifically affects our business. The one thing we will do differently on this call in response to the less than predictable environment we're in, we're going to give as much data as we possibly can, including some insights into backlog, unshipped revenues, projects going forward and other indicators that normally we might not. We know investors need as much information as possible these days, then you can make your own decisions about what you think the macroeconomic of the future holds. So with that perspective, let me start out with some metrics of our Identity business, which includes smart card readers, Thursby and most importantly, our RFID business, for which today, we also announced project specific financing for short-term working capital to support the very fast growth of a specific project during the second half as well as growth in our overall RFID business. So starting with our smart card readers. Our revenues were on track and then demand accelerated from the sudden work from home demand. As a result, we had over $1 million in extra smart card reader demand in Q1, which we weren't able to ship. Now we met all of our expected demand and the extra demand exceeded our ability to deliver within the quarter. As a result, combined with the orders for second quarter delivery, we went into Q2 with nearly two-thirds of our smart card reader plan for the second quarter already in backlog. We expect elevated demand levels to continue, both because of some of the new trends will continue and the base growth we already were seeing. Our Thursby secure mobility apps also are seeing greater demand due to work from home mandates. Now first of all, in the first quarter, we also delivered the PDF signing enhancement to the U.S. Navy reserves, as we projected. We've also seen broad-based demand from personnel across the U.S. Army, Air Force, Special Operations, Army National Guard, the U.S. Space Command and others. Probably the best indicator of demand is our direct online sales to individual service people. These have nearly tripled to over 400 units a week. Now turning to the most exciting sector, our RFID business. Growth has been even stronger, growing 66% year-over-year. Here's the growth long-term, deeply established, and we believe it's going to be sustainable and defensible. We built what we think are the deepest technical expertise in making high-performance NFC-based transponders. We've all seen early applications from Mattel, Nike, McDonald's, Kraft and others. By our engagement with some of these early adopters, we've established ourselves as the most reliable, high-quality, high-performance provider of NFC RFID solutions. Now we're seeing the second and third generation of these applications getting into truly mainstream markets. To get more of a sense of the momentum, we entered the second quarter with over 90% of our base plan already in backlog. And currently, we're over 120% of our RFID plan in our backlog for delivery in Q2. Although this doesn't include a major project that's ramping in the second half of this year and this is the project that we secured the financing for because the ramp and short-term working capital needs are so steep. I'll go into more detail later as we talk about Q2 and the second half of the year. But let me set some context upfront. Our growth in RFID is coming from 3 factors: First, our leadership in high-end high-frequency and NFC-based RFID applications; second, the industry-leading quality of our customers and the breadth of those customers across industries; and third, one specific circumstance that's helped us was the acquisition of one of our competitors by a much larger company which has focused them away from high-end devices, setting us up as the clear go-to provider. So our excitement about this industry is due both to its scale potential, which is in the multiple billions of units and our motive defensible technology. We think it's now started on a clear path to be a major value creator for our investors. I'll go into more detail later, like I said, this was a strong trend even in the first quarter, so I wanted to comment on it upfront with some specifics. So in Q1, our Identity business experienced positive drive from both long-term trends and our competitive strengths as well as demand benefits from the lockdowns. Turning to Premises. We had a good start to the year, adding 10 people to our sales and SE teams and closing nearly $2 million in orders that we earlier mentioned and carried over from Q4 last year. Now obviously, for physical security, whether it's video or access control at some point people need to be on-site in order to do implementations and installations. So our Premises business was impacted as the lockdowns began in March. Now nearly 85% of our business is federal, state and local governments plus education. So it's resilient but still is affected. We've also received a central business status across all of our facilities worldwide, so we're able to continue to supply our customers. However, in physical security, some companies are smaller or cash-thin private equity owned businesses. So these companies, which have, in some cases, partly suspended operations, has slowed down some of the deployments. We also have customers in retail, hotels and other segments affected by the lockdowns. The majority of our channel and end customers though connect to the federal government. This means they're getting paid by the government and many government contracts require that if the government pays, the prime contractors have to pay their providers. So we've seen cash and revenues continue to flow. Also, there's been some deferral of deployments, but because it's a federal government, we expect every one of these will come through. In fact, on the federal government side, we expect either late second quarter and very likely in the third quarter we'll see a strong federal government year-end purchasing cycle. Congress is going to be pushing for aggressive spending federal budget for fiscal '21, which starts in October. The incentive is going to be to use up the budget in fiscal 2020 and that incentive will be stronger than ever. Since the ability to deploy that budget has been delayed by some of the lockdowns, we think that will create a larger buying cycle than normally is the case in the third quarter. Also driving our results on the product side, we fully launched our cloud platform, Velocity Cirrus and also launched our touchless Bluetooth reader. Our sales team has done over 75 Cirrus demos in just the past few weeks and our first Bluetooth reader sales are coming in. As a result, we believe despite the headwinds in the first quarter, we're positioned to come out strongly as travel and meetings are starting to open up even now. So we had strong revenues in RFID, smart card readers and Thursby, offset by delays in our Premises business at the end of the quarter. The main effect is a mix shift, resulting in lower gross margins and a disappointing EBITDA that hit us before we were able to take cost actions to offset it. Sandra will cover the financial results in more detail. And then I'll come back to discuss our second quarter and the second half of the year. Sandra?
Sandra Wallach: Thanks, Steve. I'd like to go through the key metrics that we think are important in analyzing the financial progress and performance of our business. The first metric is revenue growth, reflecting the tailwind we carried out of the fourth quarter results in our Premises segment and the increasing demand for our Identity segment, even with the initial impact of COVID-19 and the shelter-in-place that started with our supply chain in February and spread worldwide. We closed out the quarter with $18.1 million in total revenue, which was down only 4% from $19 million in the fourth quarter of 2019 and which compares favorably versus our historical reduction of 8% that we saw from Q1 2019 over Q4 2018. Our top-line results for Q1 2020 were impacted by mix demand changes across our portfolio, including temporal shifts driven by the shelter-in-place orders impacting our Premises business and select verticals, unforecasted spikes in demand in our Identity business driven by work from home actions and sustained growth in our transponder business in which we saw another 60-plus percent increase quarter over comparable quarter. As a result, we entered the second quarter of 2020 with a significant increase in requested shipments for this quarter, which is up 85% in absolute dollars from the same measurement period entering the fourth quarter of 2019 and 100% increase over the same period entering the second quarter of 2019. There are still unknowns that include the ability to close additional business as well as risk factors to deliver whether within the supply chain or logistics that may impact our future quarters. Our standalone software and services business increased to 15% of our total revenue in Q1 2020, an improvement from 13% in Q4 2019 and 14% in Q1 2019. On a trailing 12-month basis, our standalone software and service business was up 132 basis points over the prior comparable period. Our recurring revenue, a subset of our standalone software and services reflecting longer-term multi period commitments for support and services accounted for 11% of total revenue in the first quarter of 2020. This part of our business grew to 9% of our total trailing 12-month consolidated revenues, a 100 basis point improvement over the prior period. For the first quarter of 2020, our GAAP and non-GAAP adjusted gross profit margins were 41% and 43%, respectively. For the trailing 12-month period, our non-GAAP adjusted gross profit margins remained steady at 45%. Our GAAP and non-GAAP adjusted gross profit margins for Q1 2020 were negatively impacted by mix across and within our segments compared to Q1 of 2019. For Q1 2020, our adjusted EBITDA margin was negative 2% and positive 6% for the trailing 12-month period, but these were down on a trailing 12-month period, 165 basis points from the same period last year. Our GAAP net loss for the first quarter of 2020 was $2 million compared with a net loss of $1.8 million in Q4 2019 and net loss of $0.8 million in Q1 2019. With the dividends on the Series B preferred, our GAAP net loss was $2.3 million or a loss of $0.13 per share compared with $0.06 per share loss in Q1 2019. We have provided in the appendix today a full reconciliation of GAAP to non-GAAP information, which is also included in our earnings release. On our next slide, revenue in the first quarter of 2020 of $18.1 million represents a 7% decrease compared with Q1 of last year and a 4% decrease compared with Q4 2019. Our Premises segment accounted for 45% of our total revenue or $8.2 million in Q1, a decrease of 12% from Q1 2019 and a decrease of 5% from Q4 2019. The year-over-year and sequential declines were primarily driven by continued unevenness of our large video analytics deployments to enterprise customers, lower sales of our Freedom, Liberty and Enterphone MESH access control products and services as well as lower sales of our traditional physical access control products. These decreases were partially offset by higher Hirsch Velocity software product sales and related services. Revenue from our Identity products, which include the sale of physical access credentials, smart card readers, transponders and mobile security products totaled $9.9 million or 55% of our total revenue in Q1. This represents a decrease of 3% from Q1 2019 and a decrease of 4% from Q4 2019. The year-over-year decrease was primarily driven by lower sales of smart card readers and access card products as well as the impact of a large order of mobile security products for the U.S. Navy Reserve in Q1 2019 that was non-recurring. These decreases were partially offset by higher sales of RFID transponder products. The sequential quarterly decrease was driven by lower transponder sales compared to Q4 2019, following our historical year-end seasonality, offset by higher mobile security solutions sales to the U.S. Navy Reserve for our new PDF signing capability in Q1 2020 compared with nominal Q4 2019 sales. Our non-GAAP gross profit, which excludes certain non-cash items was 43% in the first quarter of 2020. This compares to 42% in the fourth quarter of 2019 and 46% in Q1 2019 driven both by the mix of products across segments and within segments. Our Premises segment margins were 57%, higher compared to Q1 2019 due to adjustments to our inventory reserves in that period as a result of our assessment of on-hand inventory levels and demand forecast. Our Identity segment margins were 32% and lower compared to Q1 2019 due to a higher proportion of lower-margin transponder product sales as well as a large deployment of Thursby Software Solutions, which was recognized in Q1 2019 at 70-plus percent gross margins. Moving now to our operating expense management, which is on Slide 8 of the presentation. Underlying the non-GAAP operating expenses as a percentage of revenue movements by quarter is a relatively flat expense basis, which we have managed through normal seasonality and acquisitions. Our GAAP operating expenses for the first quarter were $9.3 million, which was flat from Q4 2019 and up from $9.1 million in Q1 2019. Our non-GAAP operating expenses adjusted to exclude restructuring and severance costs and certain non-cash charges normally excluded from our non-GAAP results, such as stock-based compensation, changes in fair value of earnout liability and depreciation and amortization as well as additional non-GAAP items consisting of acquisition-related transaction costs, totaled $8.1 million in the first quarter of 2020. This compares to $7.7 million in Q4 of 2019 and $7.9 million in Q1 of 2019. The graph highlights the scale required to achieve the leverage and reach our target model of 25% to 35% non-GAAP operating expenses as a percent of revenue as we plan our operating expenses through 2020 and beyond. Bringing back all the pieces, our non-GAAP adjusted EBITDA loss was approximately $0.3 million for the first quarter of 2020. Now turning to the balance sheet. We will be comparing our position at March 2020 to the position 1 quarter ago at December 2019 and the prior year quarter ended March 2019. We exited the first quarter of 2020 with cash of $8.7 million, a net decrease of $0.7 million from the fourth quarter 2019 and decrease of $0.2 million from Q1 2019. Net cash activity for the quarter was driven by $0.5 million of cash used driven by our net loss excluding non-cash items, $3.2 million of cash used in operating assets and liabilities, driven primarily by an increase in accounts receivable influenced by the current economic environment. With a de minimis amount of capital expenditures, our non-GAAP free cash flow generated was a negative $3.8 million. Under financing activities, we had $3.4 million net cash provided driven by $3.6 million increase in net borrowings under our East West Bank revolver and term loan facility offset by $0.2 million tax payments related to RSUs. And lastly, there was a small $0.3 million impact of foreign currency fluctuation to reconcile to our GAAP cash flow. Even as we entered the uncertainty of early March, our focus has been to create the most thoughtful path to ensure that maximum liquidity is available as we navigate this period of uncertainty both on the duration and shape or speed of the recovery. Our first priority is always the safety and well-being of our employees, their families, our customers, suppliers and partners. We've been carefully working our plan, including internally halting discretionary spending, adjusting purchase order commitments is appropriate, working with our customers and suppliers on payment terms and taking a hard look at our expense base with the belt-tightening that is appropriate. In addition, we assessed all other liquidity sources as precautionary and appropriate as both the revenue and collections landscape is uncertain for an undetermined period of time. As an example, we received unilateral notifications from more than one customer that they were moving out their payment terms to net 90 or suspending cash payments for an additional 90 days. As a result, we have and continue to pursue economic relief programs and we're able to access a payroll protection program loan on April 9, as disclosed in our 8-K filings on April 15 for stabilizing the U.S. workforce and have applied for regional relief programs in Canada, India and Singapore as well for our international teams. Subsequent to quarter-end, in May 2020, as a part of a strategic project financing arrangement as disclosed in our public filing today, we entered into an agreement with an existing institutional investor in which we issued an interest-free $4 million subordinated promissory note due and payable in Q1 of 2021, along with 275,000 warrants with a 3-year term to purchase shares of our common stock at an exercise price of $3.50. These funds are specifically to support working capital needs and ramping up our transponder capacity in Singapore, as Steve mentioned, while protecting the core business liquidity. Also in May 2020 and disclosed in our filings today, we entered into the 13th amendment with our banking partner, East West Bank, which provided additional flexibility to navigate the current environmental uncertainty by providing permitted indebtedness for the PPP loan and the project financing note, modifying certain financial covenants and deferral of 3 months of scheduled term loan payments into the final payment due January 2021 in return for modifying certain terms to the warrant issued to the lender in 2017. In our 10-Q filings, we will be providing a full reconciliation of the year-to-date cash flows. For completeness, we've included the full balance sheet per the earnings release in the appendix. As we look forward to the balance of 2020, as Steve mentioned, we continue to operate our business and are seeing good trends and data points as we progress into this quarter. However, with the general uncertainty, we believe it's prudent to share as much information as we have regarding our current thinking regarding guidance for 2020. We believe we have visibility to revenue in the range of $86 million to $90 million, which is on track to deliver our prior guidance, with more confidence around the second half of the year and some expected choppiness in Q2. In addition, due to the mix shift with the higher growth rates projected in our lower-margin Identity segment, we believe there will be additional downward pressure on our gross margin rates versus our original guidance, but more consistent with our first quarter actual. In addition, recognizing these trends and unknowns, we will be adjusting our operating expenses and we'll provide a full update when we have more clarity. With the additional liquidity actions we have taken, including the bank facility that we have amended while retaining the total facility at $20 million, accessing government relief programs and project financing, we believe we have adequate capital available to fund our business and return to positive non-GAAP free cash flow exiting Q4 2020 and be well positioned to retire the term and note debt on schedule in Q1 2021. With that, I will conclude the financial discussion and pass it back to Steve.
Steve Humphreys: All right. Thanks, Sandra. For Q2 and the rest of the year, we have 3 key business drivers, the emergence of broad-based RFID applications, the federal government and, of course, the overall economy. Now in the opening, I mentioned the drivers of RFID growth and why it's a long-term growth pattern. First, leading companies adopting second-generation applications, signaling sustained growth. Second, our position as the developer of the best high-frequency and NFC RFID devices, which we've established over many years and built defensible IP. And third, favorable market events, including the departure of one of our major competitors as well as the weakening of others. So looking forward because of the design and nature of RFID devices, we've got very good visibility. Our backlog for the second half of 2020 in RFID is already more than two-thirds of our base plan for the entire second half of the year. On top of this, we're preparing to ramp production for a customer we've been working with and design for over a year. Their volumes are ramping throughout the second half, starting in late Q2 and driving a few million dollars of additional volume in each quarter of the second half and into 2021. Now remember, our RFID devices are typically well under $1 in price. So this represents many million units in addition to the growth and volumes I mentioned above. The rapid growth curve and the need to build supply chain now for the production ramp is the reason for the project financing working capital we announced today. It's possible we could have managed the working capital from our operations. But with the economic uncertainty and the need to drive this growth with no impediments, it's responsible to make certain the capital is available with zero risk of interruption. Given the specifics of this project, we secured specific working capital financing on a very short-term basis, which we expect to be fully covered by cash flow from the project by the end of the year. The production will continue into 2021, of course, but after the initial fast ramp-up, it becomes cash positive and self-funding. Now this customer is expanding into other products, so we expect it to be another broad long-term partnership as are many of our customers. On that last topic, let me say one more thing. Our customers depend on us for confidentiality. We'll communicate everything we can to the investor community about our business and market trends, but it will always protect our customers' confidentiality. There are plenty of applications coming into the marketplace showing where it's going. And our position as the best technology provider means we're working with the highest quality technology leaders in any category. So given the confidentiality, how can you quantify the implications for our business? For this year, we've been specific about base volumes, backlog and project volumes. This hopefully gives line of sight to our RFID business nearly doubling. Now that's great, but what's the ultimate scale of the opportunity? We believe this is the sustained beginning of wide deployment of RFID and, in particular, NFC instrumented devices. So let me give you just 3 use cases so you can calibrate the longer-term potential and the volume scale. There a dozen more I could give, but these should give an idea. So the first one, since we're all more health-conscious these days, is a product we're developing together with some major theme parks. It's a temperature sensing RFID device that either can be in a wristband or stick right to the skin so they can be checked regularly and discretely and remotely. Now it might sound a little like an invasion of privacy. But if you imagine as theme parks really want to reopen, they want to assure visitors and especially families with children and may be old relatives that they're keeping them safe. So we think that, that adoption and acceptance will actually be very broad as people are returning and they're looking for ways to feel confident that they can go back to their behaviors and enjoying the activities they like. Now there are about 0.5 billion visitors annually to theme parks and these are disposable devices, so you can get a sense of the volumes. A second application is, of course, in the mobile world where NFC has been used for payments already. It's the natural sensor platform for a huge array of instrument and things around your home or anywhere you go. There are about 1.5 billion mobile devices shipped annually and as demand to instrument things in the world reps grows, the RFID potential is a multiple of this base. So a couple more use cases are some of the early ones that are now getting refined for the mass market, such as toys and sports gear. Giving physical toys a virtual identity is an obvious use case as kids increasingly play in virtual worlds and toy companies build links between their products and virtual play. The same is true for sporting goods, making the product relevant by connecting it to the digital tracking activities that everyone does is a clear use case. Now just these examples represent several billion units annually. Some will go faster and some will go slower, but the scale of the market opportunity is the point. The broad-based adoption is just starting with just tens of millions of units, but the goal we're going after is this massive RFID market opportunity. So that's RFID, which we can go into in more detail in the Q&A. Now as I mentioned in my opening, for the second quarter and second half of the year, we also see continuing growth in Thursby and smart card readers. We're seeing pipeline demand across an increasingly wide range of departments, including the Marines and the Peace Corps and were also soon to be carried in the Army and Air Force exchanges to retail stores on military facilities. We expect this demand to continue even as lockdown orders are relaxed. On the Premises side, there's near-term impact from the lockdowns, but we believe in the second half we'll see a resurgence. I already described why we expect the government fiscal year end to be stronger than ever and prospects to be good for fiscal 2021 starting in October. This trend will support our business actions across smart card readers, mobility and Premises, all of which have strong federal revenue bases. We know at least during the second quarter, we'll continue to have pressure in retail, hotels and others, but again, this is less than 10% of our Premises business more than offset by the strengths we expect in federal. Also in Premises, we see new opportunities. Physical access control and video systems are natural platforms to add health and safety to their primary roles of security. And we've all seen some of the articles about temperature sensing devices being connected to the access control systems and we're certainly evaluating some of these, but we're also being very cautious to make sure they actually work because as a trusted adviser, we need to make sure that what we deploy, especially if it's health and safety-related is 100% certain to be functioning and some of these frankly, aren't. However, they are clear ways in which our systems already can contribute. So for example, we developed a contact tracing utility for our access control system, very straightforward use case. If a company has someone who becomes contagious, they can run our utility and immediately get a report of where that person went in and out of the building when they did and everyone else who is in the same place of the building and immediately notify everybody who is in the area. They can also, of course, implement extra cleaning protocols, anything else they might deem appropriate. Again, it's not a complete solution, but it means that as people return to their offices, they can see something that their office provider, office managers are doing to try to manage the situation. And if there is some contagion or exposure that they can run it down and our systems are helping them do that. Now in this case, we developed the utility, and we've made it available as a free download to our customers to help as they go back to work. What it tells us, though, is which customers are sensitive to the issue, it gives clear candidates for future capabilities we're ready to deploy. And also, we've gotten a lot of notes of appreciation just reinforcing that customer relationship, while we're in pretty stressful times. So one last comment before I wrap up. Our independent directors are, of course, continuing to engage in discussions about strategic options for the company. Obviously, things have been affected by the economic volatility, but they're certainly still continuing their process. So to wrap up, we understand that the second quarter will be choppy and hard to predict, particularly on the Premises side. We've taken seriously from the beginning all of the primary and secondary implications of the virus and lockdowns, which has let us operate fairly seamlessly, kept our supply chains intact and kept our operations all open and we continue to treat it very seriously. Within that context though, here's how we see the second half from a growth, market risk and financial stability perspective, which we believe are probably the parameters that investors want to understand for our business going forward. So first, growth. We expect strong growth in RFID as I've described in detail. Continued growth in mobility and smart card readers, driven by specific lockdown demand by positive market trends and by our competitive advantages. We expect to resurgence in Premises, driven by a renewed focus specifically on the federal government, our expanded field teams and we believe a particularly strong federal government year end beginning of the new fiscal year. We do expect retail and hotels will remain weak, affecting our video and card business, but this will be offset by strength in our federal business. Second, market risk. We actually believe our federal government focus puts us in a much better position than some of our competitors who are exposed to small and medium businesses, many of which are under a lot of stress. We also believe that federal government will be among the first to return to full operation and will be a safe credit risk throughout. So we think we're better positioned than most in the physical security industry, many of whom have exposure to SMB and at-risk verticals. The other market risk mitigating factor is our RFID backlog and the specific committed project ramp that I talked about, both giving us visibility for the vast majority of the balance of the year. By the time we enter the second half, in fact, backlog could be close to covering our entire second half RFID plan with still more orders, of course, to come in. And third, of course, financial stability. We're continuing to tighten expenses to ensure strong operations and resiliency and to reflect our focus on the federal market, which includes our Thursby business and our RFID business. We've reinforced our bank line, accessed PPP and put in place project financing for our project-specific working capital needs. We think we'll have navigated the current pressures, invested in growth and done it without diluting our shareholders as we go into the second half. Now I know these comments have been a bit long, but hopefully they're all relevant and give you a good basis to assess our position, whatever your assumptions are about the environment ahead. So with that, let's open the discussion for questions. Operator?
Operator: [Operator Instructions] We'll hear first from the line of Mike Latimore with Northland Capital Markets.
Unidentified Analyst: Yes. This is [Pavan] on for Mike Latimore. I have 2 questions. Our SaaS sales affected by the restrictive travel environment...
Steve Humphreys: Sorry to interrupt. You're very echoey, so it's a little hard to understand.
Unidentified Analyst: Okay.
Operator: Mr. Latimore, [indiscernible] speakerphone. Could I ask you to return to your handset?
Unidentified Analyst: I'm sorry for the trouble. Are you able to hear me now properly?
Steven Humphreys: I can barely make out your words, but give it a shot. Let's try.
Unidentified Analyst: Our SaaS sales affected by the restrictive travel environment.
Steven Humphreys: I heard you say something related to the restrictive travel environment.
Unidentified Analyst: Yes. Our SaaS sales affected by the restrictions in the travel.
Operator: Mr. Latimore. This is the conference operator. I do apologize, sir. Are you able to return to a handset or a landline? We're having difficulty hearing you, sir.
Unidentified Analyst: Okay. I'll jump back into the queue and then take the questions. I think there is some problem with the network. Thank you. Sorry for the trouble.
Steven Humphreys: No. No. Thank you. Please try to reconnect. We'd like to take all questions possible.
Operator: [Operator Instructions]
Steven Humphreys: Jim, that's okay. If we addressed everything, we certainly have some follow-up calls. So that may cover it as well. Are you seeing anyone yet or should we just wrap up?
Operator: No, sir. Thank you, Steve. Go ahead with any closing or additional remarks that you have.
Steven Humphreys: All right. Great. Yes. Thank you all for joining us. I know it's an extraordinarily busy earnings season, especially earnings day today. I know there's multiple overlapping calls, so thanks for taking the time to join ours. We will be on the Oppenheimer Virtual Analyst Day doing one-on-ones on Tuesday next week. And also we'll be putting together ongoing updates for the investor and analyst community as we go because in these extraordinary times, we want to keep information flowing as much as possible. We wanted to wait until earnings points and an ability to disclose everything at once, but now as we're in the open, we're happy to provide insights as the business builds and they need the dynamics as everybody tries to get back to work and move towards whatever the new norm will become. So thank you all for joining us again and have a good evening and a good day.
Operator: Ladies and gentlemen, this does conclude today's conference and we do thank you all for your participation. You may now disconnect your lines and we hope that you enjoy the rest of your day.